Operator: Good morning, and welcome to the Howard Hughes Corporation's Second Quarter 2021 Earnings Call. [Operator Instructions]. I would now like to turn the call over to John Saxon, Investor Relations Associate. Please go ahead.
John Saxon: Good morning, and welcome to the Howard Hughes Corporation Second Quarter 2021 Earnings Call. With me today are David O'Reilly, Chief Executive Officer; Jay Cross, President; Correne Loeffler, Chief Financial Officer; Dave Striph, Head of Operations; and Peter Riley, General Counsel. Before we begin, I would like to direct you to our website, www.howardhughes.com, where you can download both our second quarter earnings press release and our supplemental package.  The earnings release and supplemental package include reconciliations of non-GAAP financial measures that will be discussed today in relation to their most directly comparable GAAP financial measures. Certain statements made today that are not in the present tense or that discuss the company's expectations are forward-looking statements within the meaning of the federal securities law. Although the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, we can give no assurance that these expectations will be achieved.  Please see the forward-looking statement disclaimer in our second quarter earnings press release and the risk factors in our SEC filings for factors that could cause material differences between forward-looking statements and actual results. We are not under any duty to update forward-looking statements unless required by law.  I will now turn the call over to David O'Reilly.
David O'Reilly: Thank you, John. Good morning, everyone, and thank you for joining us today on our second quarter 2021 earnings call. I'll begin this morning's call with an overview of our quarterly performance and cover the highlights of both our Master Planned Communities and the Seaport. I'll then hand the call over to our Head of Operations, Dave Striph, who will speak to the results of our Operating Asset segment. Jay Cross will provide updates on our development activity in Ward Village. And finally, our CFO, Correne Loeffler, will conclude the call with a review of our financial results before we open the lines for Q&A.  With that, let me start out by saying our positive second quarter results marked a significant milestone for the Howard Hughes Corporation. During this time last year, COVID-19 emerged as a significant obstacle that we had to navigate for the better part of the year. Despite the enormous challenges of the past year, our team of dedicated employees, irreplaceable assets and highly sought after communities withstood the various hurdles presented by the pandemic. I am pleased to report that all of our business segments are demonstrating great strength and resiliency and now have either surpassed or are closely approaching pre-pandemic levels.  Our Master Planned Communities continue to generate strong results with the acceleration of land sales driven by robust home buyer demand, demand that began to strengthen in the second half of last year and is carried into the first half of 2021. An integral part of our strategy is our ability to sell residential land to homebuilders at higher prices over time, driven by the amenities created by our commercial developments that are integrated throughout our communities.  During the quarter, our commercial assets delivered strong year-over-year and sequential NOI growth in our Operating Asset segment with notable improvements across retail, hospitality and the Las Vegas Ballpark.  Turning to condo activity in Hawaii. Ward Village has continued to experience elevated sales despite being limited to a mostly virtual condo tour experience. All 3 towers currently under construction are now 86% presold and are all progressing on time and on budget.  Finally, at the Seaport, we experienced improvement with the continuation of the greens, increased rooftop events and robust restaurant activity, all of which continue to drive increased foot traffic to the area.  Now taking a deeper dive into the drivers of our MPC segment. Over the past several quarters, our communities located in the Las Vegas and Houston regions were able to capitalize on the demand from out-of-state migrations as homebuyers living in densely populated high-cost states set a better quality of life with a focus on expansive open spaces and best-in-class amenities. This view was further solidified by the latest midyear report released in July by the Robert Charles Lesser Corporation, where our communities in Summerlin and Bridgeland ranked among the top-selling Master Planned Communities in the country.  Summerlin was ranked as the third top-selling MPC in the U.S. and was the top-selling MPC in Nevada. Bridgeland was ranked 13th on the national list. While some of the pandemic-driven migration trends that I just highlighted have moderated, regional builder inventories have been depleted and remain at or near all-time lows. Additionally, homebuilders have recently shifted to a just-in-time home delivery strategy in order to combat supply chain constraints, which have also contributed to a reduced available supply. Overall, housing demand within our communities has remained strong, and new home permits have remained elevated, all of which point to increased homebuilder demand for land to replenish their depleted inventories.  During the quarter, our MPCs delivered tremendous results as the strength in land sales, combined with earnings from our Summit joint venture in Summerlin, helped drive the segment's earnings higher. In addition, new home sales, a leading indicator of future land sales, grew 23% year-over-year.  Summerlin had an all-around great quarter, selling 49 acres of residential land, while also increasing its price per acre 14% compared to the same period last year. Builders continue to purchase more of our land to keep up with demand, which is evidenced by the closing of 3 super pad sites during the quarter. Additionally, Summerlin saw a 66% year-over-year increase in new home sales, demonstrating the demand from homebuyers in this region remains strong. Another significant driver to Summerlin's success was derived from the earnings generated at The Summit, our joint venture with Discovery Land. The Summit's increase in earnings was due to closing of 16 units during the quarter versus 3 units during the prior year period.  In Bridgeland, land sales softened in the quarter with 25 acres of residential land sold compared to 38 acres in the prior year period. Bridgeland's new home sales slowed a bit during the quarter as well, as homebuilders paused the selling of lots and began listing homes on the market at a much later stage in the construction process. A change in sales strategy for homebuilders in Bridgeland that was driven by ongoing supply constraints that impacted material costs and delivery times.  We view both the decline in land sales as well as the decline in home sales this quarter as a temporary pause driven by this change in homebuilder sales strategy that meaningfully limited supply and was not the result of any change in underlying demand. As builders now begin to release these partially constructed new homes to the market and return to the more traditional model of selling lots, we expect that sales will rebound in the coming quarters.  The Woodland Hills delivered positive results across the board with significant year-over-year increases in land sales, new home sales and growth in the price per acre of land sold. The results produced by this MPC continue to impress and have maintained an accelerated pace over the past several quarters.  Turning to the Seaport. We continue to experience numerous areas of improvement with the reopening of the Manhattan economy. We have begun hosting various rooftop events, such as high school and college graduations and, most notably, ESPN's Annual SB awards. We continue to see strong demand for the future events at The Rooftop, which is a great sign coming out of the pandemic.  We've also made tremendous progress with our restaurant space. During the quarter, we increased the number of open restaurants from 2 to 7. Of these openings, 2 were related to concepts by acclaimed chef, Andrew Carmellini, restaurants Carne Mare and Mister Dips. Both of these have displayed very strong initial results.  Lastly, we relaunched our Summer Concert Series on The Rooftop at Pier 17, which was canceled last year due to the pandemic. We held our first concert in late July to a sold-out crowd. And have several more concerts lined up through October, several of which are already sold out.  With that, I'll hand the call over to Dave Striph.
David Striph: Thank you, David. Results of the second quarter that David just highlighted clearly display the strength of our business as the economy continues to reopen. In particular, our Operating Asset segment generated robust results that I would like to touch on in more detail.  Our commercial properties delivered improved results during the quarter as the portfolio continues to inch closer to pre-pandemic levels. Our Operating Assets segment generated NOI of $57.9 million in the quarter, which was a material improvement year-over-year and sequentially. The results delivered in the second quarter by our retail properties were one of the top highlights from our portfolio of high-quality assets. Retail NOI increased for the third consecutive period totaling $14.8 million in the quarter, increasing 72% year-over-year and 23% sequentially.  While we generally experienced improvements throughout the majority of our retail assets, the largest drivers of this impressive performance were concentrated in Downtown Summerlin, Ward Village and the Outlet Collection at Riverwalk. Specifically in Downtown Summerlin, we are beginning to see activity surpass pre-pandemic levels as sales per square foot in June totaled $668 compared to $636 in June of 2019.  Our retail assets have continued to improve with consecutive increases in collection rates, which have been steadily improved to 80% from a low of 50% in the second quarter of last year. Hospitality was another sector severely impacted by COVID, which caused our hotels to shutter for an extended period of time just over 1 year ago. Our hotels have experienced a meaningful recovery and during the quarter, generated $2.7 million of NOI compared to a slight loss in the prior quarter and a $1.8 million loss in the prior year period.  The improved occupancy at our hotels was largely driven by an increased volume of leisure travelers during May and June. The Las Vegas Ballpark had a tremendous quarter, generating quarterly NOI of $3.1 million. This was substantially higher than the $1.1 million loss reported during the prior year period due to the cancellation of the Minor League Baseball season in 2020.  For 2021, the season began in May, and our team, the Las Vegas Aviators has hosted several games at full capacity with additional games scheduled to continue through the majority of the third quarter. The continuous lease-up of our latest multifamily assets helped drive quarterly NOI to $7.4 million, a 94% increase year-over-year and a 29% increase sequentially. Just as we have seen robust demand in single-family housing, interest remains high for available units at our multifamily properties. With most of our assets leasing at or above pro forma projections, we have additional projects underway in Bridgeland, Summerlin and Downtown Columbia to further capitalize on this momentum.  Office NOI increased 2% sequentially to $26.3 million as strong leasing velocity more than offset the tenant expirations experienced during the prior quarter. I'm pleased to report that we experienced a rapid increase in office leasing momentum during the quarter, specifically in the Woodlands. Year-to-date, we have executed 216,000 square feet of new and renewal leases with 95% of that activity occurring in the second quarter. In addition, we have nearly 300,000 square feet of leases in progress, predominantly concentrated in the Woodlands. This provides a strong pipeline of opportunities that could potentially close in the second half of 2021. Furthermore, we have limited lease expirations that do not exceed 10% of our office portfolio during a given year until 2025.  With that, I will hand the call over to our President, Jay Cross.
Jay Cross: Thanks, Dave, and good morning, everyone. As you can tell from the comments thus far, demand within our communities from both the residential and commercial perspective remains strong. As such, we need to ensure that our communities are equipped with the right products that residents and tenants are seeking. Last quarter, I highlighted the commencement of 2 million square feet of construction across several asset types, including multifamily, office and a condo tower. We've made great progress on the initial construction phase of these projects. And while we have encountered material shortages in some instances due to the supply-constrained market, we do not expect any material impacts over the course of development.  This is due to our rigorous budgeting process and ongoing supply chain management. There are a number of additional projects on the horizon as we continue to see an abundance of opportunities to diversify our product mix across the portfolio. For instance, in Bridgeland, we continue to experience strong demand for housing and see a need to offer additional products into the market. As I mentioned during our Investor Day and on last quarter's call, we plan to develop a single-family for rent community in Bridgeland that will encompass 263 homes distributed across 3 product types. This is a first for Howard Hughes and will offer a complementary product between single-family for purchase and our multifamily offerings.  The thesis is to provide tenants the flexibility of renting while still having access to many of the offerings a traditional home can provide such as 3- and 4-bedroom configurations, private outdoor space and an attached garage. The typical renter might be an executive looking for a temporary housing solution, a single parent or young couples for the family seeking a temporary home as they save to make a down payment for their first home. The single-family for rent project is still in the preplanning stages, and we look forward to providing additional updates in the coming quarters.  Seaport, we continue to make great strides on the development front. Tin Building remains on track for completion by the end of 2021, and we look forward to having an official brand opening in the spring of '22. The exterior of the building is largely complete, the interior is well along and the integration of omnichannel capabilities for enhanced mobile ordering and delivery will establish the Tin Building as a one-of-a-kind food home.  At 250 Water Street, we continue to advance our plans for this site following the New York City Landmark Preservation Commission's approval of our proposed design for a 28-story mixed-use building. The proposal is now moving through the city's land use review process to obtain final approvals anticipated later this year. Additionally, we have agreed with the city on an extension to our ground lease to 99 years, subject to a separate land use review process, which will also include our contribution to the Seaport Museum's revival, improvements to the Esplanade and the opening of an important drive way around the Tin Building. This separate process is also on track for year-end completion. Shifting our attention to Hawaii. At Ward Village, condominium sales continued to progress at elevated levels. During the quarter, we contracted to sell 45 condos, which has further reduced our already limited supply of available units. The pace of continued sales has been incredible, especially when one considers the impacts of Hawaii's COVID-related travel restrictions.  Last quarter, we broke ground our latest tower, Victoria Place. And of its 349 units, only 23 condos remain, which speaks to the level of demand we are seeing in Ward Village. Our other 2 towers under construction, ‘A‘ali‘i and Ko'ula are well sold at 87% and 81% and remain on time and on budget, with completion expected in the fourth quarter of 2021 and 2022, respectively. Finally, we sold out our third condo tower in Hawaii during the quarter with the closing of the final unit at Anaha for $12.9 million. I will now turn the call over to Correne, who will review our second quarter financial performance.
Correne Loeffler: Thank you, Jay. During the second quarter, our operational teams were able to capitalize on improving market conditions and delivered improved financial performance across all of the company's business segments.  First, our MPCs delivered strong results in the quarter with earnings before taxes, or EBT, of $69.8 million, which is a 10% increase compared to an EBT of $63.4 million in the prior quarter and a 66% increase compared to an EBT of $42.2 million in the prior year period.  Next, our operating assets generated $57.9 million of quarterly NOI, which represented a 20% increase compared to an NOI of $48.4 million in the prior quarter, and a 42% increase compared to an NOI of $40.8 million in the prior year period. Lastly, we sold 45 condo units in Hawaii, just 1 shy of the 46 units sold in the prior quarter and a 246% increase compared to the 13 units sold in the prior year period.  At the Seaport, we recorded a $4.4 million loss in NOI, which is only 1% lower compared to the prior quarter and 18% lower compared to an NOI loss of $3.7 million in the prior year period. Despite the loss in NOI, we experienced a meaningful improvement in visitor traffic. It was driven by an increase in events and strong restaurant activity. Even with the impact of labor shortages, several of our restaurant concepts were still able to meet or exceed their stabilization targets based on recent sales per square foot. This demonstrates the strength of the customer demand. We are very pleased with our quarterly performance and look forward to continuing this momentum into the second half of the year.  Taking a look at GAAP earnings. For the second quarter, we reported a net income of $4.8 million or $0.09 per diluted share compared to a net loss of $34.1 million or $0.61 per diluted share during the prior year period. The increase in net income from the prior year period was primarily driven by strong results generated by our MPC and Operating Assets segments.  Aided by our strong second quarter performance, I am pleased to report that we remain on track to meet all of our previously disclosed guidance targets established at the beginning of the year. To reiterate our 2021 guidance, we expect MPC EBT to range between $210 million to $230 million and expect operating asset NOI to range between $195 million to $205 million.  For the first half of 2021, our G&A totaled $42.1 million, representing a 31% decrease compared to $61.3 million in the prior year period. Based on our current run rate, we expect G&A to be within our guidance range of $80 million to $85 million in 2021.  Focusing on Hawaii. Based on the presale volume at ‘A‘ali‘i as well as our other sales at Ko'ula and Anaha, we remain confident we can generate between $100 million to $125 million of condo profits in 2021, which was our original guidance for the full year. Once construction is complete at ‘A‘ali‘i in the fourth quarter, we will close on the units currently under contract and begin to recognize the associated sales proceeds.  Now turning our attention to noncore asset sales. In May, we sold Monarch City, a 229-acre land parcel outside of Dallas, resulting in a book gain of $21.3 million before realizing a noncash tax expense of $4.6 million. This sale generated net proceeds of $49.9 million, bringing our total net proceeds from noncore asset sales to $263.7 million since the fourth quarter of 2019. We will continue to pursue the sale of our other noncore assets and remain focused on achieving maximum value for these dispositions.  Finally, as we turn our attention to the balance sheet. We continue to maintain a robust liquidity position and a strong balance sheet. We ended the quarter with just over $1.2 billion of liquidity that comprised of $1.1 billion of cash and $185 million of undrawn revolving credit facility. Over half of our debt issuances don't mature until 2026 or later. And we have ample liquidity to address our near-term maturities as well as to fund our net equity requirements for our development projects.  Our strong financial position provides us the flexibility to nimbly execute on future projects, targeting outsized risk-adjusted returns.  Now I'd like to turn the call back over to David for some closing remarks.
David O'Reilly: Thank you, Correne. Before we open up the lines for Q&A, I'd just like to take a minute to reiterate a few key points. First, our business is designed to deliver perpetual cycle of value creation. As we sell land to homebuilders, new residents move into our communities and create a need for commercial amenities. As we build out these amenities by constructing commercial assets, it helps drive the overall value of our land hire. We have nearly 10,000 acres of raw land across the country that enables us to repeat this process for decades to come. This model remains true for our condo developments in Ward Village, but on a vertical level, where we have nearly 5 million square feet of entitlements remaining.  Second, our strong balance sheet leaves us well positioned to evaluate opportunities and react quickly based on current market conditions. As Jay mentioned, we have already commenced 2 million square feet of development in the first half of 2021, and are in the early stages of planning for additional projects. Thanks to our enviable capital position, we're able to take decisive action by developing commercial assets at outsized risk-adjusted returns, driving our net asset value higher.  Third, our management team is now fully established. We come from unique backgrounds with diverse expertise in development, finance and operations that when mended together, position us to nimbly execute and deliver superior results. Combined with the support of our Board, we're all aligned and focused on creating meaningful value for all of our stakeholders. Lastly, we finished the first half of 2021 with strong operational and financial performance across the board. We believe our business is poised for continued growth, and we are well positioned heading into the second half of 2021 as we remain on target to achieve our full year guidance.  With that, I'd now like to begin the Q&A section of the call. We'll answer the first few questions that have been generated by Say Technologies and will be read by John Saxon. John, can you read the first question?
A - John Saxon: Sure. Our first question is, what is the risk that is likely to slow down the development of HHC? Population growth, employment growth, lack of commercial development opportunity or anything else? And what can be done by HHC?
David O'Reilly: It's a good question, and we've talked about it a number of times that our ability to execute on our development pipeline is really limited by 2 things: market demand and capital. Right now, I feel like we have ample capital to be able to execute on everything that we have in the pipeline. And right now, we also have incredible demand across our MPCs looking for new assets like single-family for rent, like additional multifamily and even in some instances, some limited retail.  So right now, we don't see any headwinds. But what could happen? Well, any one of the local economies in which we operate, if they were to slow down or we were not to see an increase in home sales and population growth, could limit demand for new developments. Right now, we're blessed with great net immigration to our MPCs. We are blessed with great demand for more amenities, more commercial assets that we have been able to execute in delivering on outsized risk-adjusted returns.
John Saxon: Thanks, David. Our next question, given the possible inflationary scenario, what percentage of commercial escalation clause is CPI index type instead of a fixed rate so that the company is protected?
David Striph: Thanks, I'll take this, John. We feel like we're well protected in this area. Almost all of our retail leases have expense pass-throughs of some sort in addition to many of them having additional rent clauses based on sales, so we're protected on both sides there. The majority of our office leases have pass-throughs that are either base year or triple net. So we feel very good in this area.
John Saxon: Thanks, Dave. Next question, what do you think are some of the areas that HHC's MPCs can emulate from others and improve on in order to make them better?
David O'Reilly: Well, we've said in the past that we strive to be like what we've seen Irvine Ranch do in Orange County. 90,000 acres, all owned by one owner. Controls land supply development with a thoughtful master plan that's been executed with a long-term value creation approach, and that's really core to the HHC strategy. I think there's other great master plans across the country, whether it's a Stapleton or Lake Nona or even the villages where there is implementing new technologies, new design, and we're always looking to see where we could do better, where we can learn from others and where we can push the envelope in terms of making our Master Planned Communities among the best.  As I reported in our prepared remarks, we had incredible home sales in our communities with Summerlin ranking 3rd and Bridgeland ranking 13th in the nation and continued strong demand. And I think that demand is partially due to folks fleeing higher tax coastal cities. But also largely due to the quality of the Master Planned Communities that we've been working on and developing over this past several decades, and that's resonating with our homebuyers. It's resonating with office tenants. It's resonating with consumers, and we're always looking to improve on that.
John Saxon: Thanks, David. So here's our last Say question. Can you please comment on management's view of HHC's credit profile going forward? And if planned on the concrete steps and time line to improve the credit standing.
Correne Loeffler: Yes. Thanks for the question. I think it's a good one, but we feel really good about where our credit rating is currently just below investment grade. In fact, you saw how well we were able to execute on our recent bond deal in the first quarter that was able to set us up and extend our maturities, lower our overall cost and really strengthen the balance sheet. So we feel really good about the balance sheet that we have with just over $1 billion that will allow us to execute on our own plan going forward.
John Saxon: Thanks, Correne. Operator, we now open up the lines for those with Q&A on the call.
Operator: [Operator Instructions]. Our first question today on the line comes from Alexander Goldfarb with Piper Sandler.
Alexander Goldfarb: David, I guess the first place we'll go is are the homebuilders. A lot of questions from investors and concern in the market about the pace of homebuilders, supply issues, lumber, appliances, the ability for them to deliver. So what is the latest? And how should investors think about when they read some of the headlines that suggest homebuilders are running into issues? How does that translate into your business and what you guys are seeing over the next sort of 6 to 12 months or however long your magic 8 ball provides clarity?
David O'Reilly: Yes. Well, my crystal ball has been foggy for a long time out. But what I'll do is I'll answer kind of what we're seeing in real time now on the ground and how we think that impacts us. And it varies pretty meaningfully between Summerlin and Bridgeland and Woodland Hills in Houston, because, as you know, we got different methodologies in how we sell land to homebuilders. Where in Summerlin, where we're selling super pads, homebuilders are buying those super pads now with the expectation of delivering homes on those super pads in 18 months. And as a result, they still see long-term demand and their appetite for more land with 3 super pads closing this quarter, obviously, very, very strong.  And while homebuilders have seen supply chain issues, they have had some labor issues and some, as you mentioned, appliance issues. They're still shopping hard and getting through them. And while it's taking them a little bit longer to deliver those homes, they're still able to deliver them. And we've seen that in terms of the increase of home sales in Summerlin both sequentially and year-over-year. Bridgeland is slightly different, where we're selling finished lots to homebuilders. And there, our homebuilder partners like they did everywhere else, felt the crunch of lumber, felt the crunch of appliances.  And as a result, took a slightly different method as I mentioned in our prepared remarks, where they were not selling a finished lot and then building the home, but building the home at least part of the way before they would sell it. And it allowed them to take some of the material risk and some of the delivery time frame risk off the table.  As a result of that shift in methodology, there was a little bit of headwinds this quarter in terms of the number of acres sold, although we still sold a great number of acres in Bridgeland. And a little bit of headwinds in terms of underlying home sales. But I think that, that temporary shift in methodology of sales, and we're starting to see it unwind already as homebuilders are going back to selling finished lots, combined with what I think is a historically low supply level of land for homebuilders and continued demand, right? The interesting thing here is that this is not a demand story. This is purely a supply story.  And with that strong demand, low inventories and a little bit of the unwind of the supply constraints that we've seen, I feel like the next several quarters will continue to be very good for Bridgeland, similar to what we expect to be great quarters in Summerlin.
Alexander Goldfarb: Okay. So along those lines, I think -- and apologies, I don't have my notes in front of me from the last earnings call. But I think you guys said last time you were upping the sort of normal $200 million a year to like, I think it was $210 million to $230 million, maybe I'm off a little bit. But is that still a good number that you anticipate?
David O'Reilly: As Correne mentioned in her prepared remarks, we feel great with that increased guidance range of $210 million to $230 million. And your memory was spot on, Alex.
Alexander Goldfarb: Then the next question is, and don't fall off your chair, if I'm saying something -- if I say something positive about the Seaport. But you guys seem to have a really good response last year during COVID. Your summer pods, your winter pods, all that stuff was rave success. The restaurants seem to be -- from what you're saying, seems to be a rave success. The beer garden, I don't know if you have that back or not, but I remember a few years ago, the beer garden, I mean, I think you sold more beer than Munich sells in October.  So is there a way now that you have -- you had some vacancy in the historic section. Obviously, you're still dealing with commercial leasing. Is there a way that you're sort of reimagining the Seaport based on how you're seeing New Yorkers respond to the program that you already have in place?
David O'Reilly: Alex, I think the way we approach the Seaport and how we think about bringing the right tenants into the historic district as well as the office space on Pier 17 doesn't change much from what we do in all of our MPCs, which is we're always looking to find the best fit based on consumer demand.  And some of the lessons learned, obviously, with the closures of like a 10 Corso Como was not the best fit. They didn't have a business plan to sustain through the pandemic. And I think we've seen throughout the pandemic and even post-pandemic, over the past several quarters, great resiliency of the local New Yorkers, those in Lower Manhattan and those right across the river in Brooklyn that have flocked to the Pier for the great dining, outdoor activations, movie nights, the SP awards, you name it.  And with the opening of the Tin Building next spring, I think we're going to have an incredible opportunity to re-tenant and bring in some great activations and users into the historic Cobblestone district. And I think they'll differ from perhaps what was envisioned several years ago where there was more of a high-end retail kind of thought or goal to more of one that is in line to meet the demands of those New Yorkers that continue to come to the Seaport day in and day out.
Operator: [Operator Instructions]. Our next question today comes from Vahid Khorsand with BWS Financial.
Vahid Khorsand: Just a couple of questions this morning. First question, is your FFO a reflection of the scale in the operating business?
David O'Reilly: Well, the FFO really is a reflection of the increased NOI from our operating business, the increased land sales in terms of MPC EBT and the profitability from condos, right? It is a GAAP measure that eliminates depreciation that tries to capture the results on a quarterly basis and an annual basis from really those 3 primary segments. As you know, our results quarter-to-quarter can be a little lumpy as a result of the timing of condo closings and the timing of super pad sales. And our job here is not to try to make it even quarter-to-quarter, but to drive the absolute best financial results for our shareholders. And we're committed to doing that. So while FFO does represent those 3 segments, which are critically important to increase in our NAV, on a quarterly basis, it may not be the best measure of how we perform.
Vahid Khorsand: Okay. And then the second question, going to Ward Village, just wanted to see if there was an update on another possible groundbreaking or preselling of another development for a 2025 completion?
David O'Reilly: So we mentioned last quarter that we had received approval on 2 new towers, the Park at Ward Village in Honolulu [ph]. And we look forward to updating everyone over the next several quarters as we're hopeful that we're moving towards getting those projects going, hopefully, in short order.
Vahid Khorsand: Okay. And then one last question. In regards to Bridgeland about the possible rental homes, what would move it from preplanning to planning?
Jay Cross: We're planning now, so maybe preplanning it a little bit -- we're moving as fast as we can.
Vahid Khorsand: Okay. So what would take it from -- I mean what are the obstacles you're seeing right now to just moving forward and doing it?
Jay Cross: Well, there aren't any real obstacles. I would anticipate within 1 or 2 quarters, we'll break ground.
David O'Reilly: Right. And the delta from here to there, Jay, is largely concluding the design.
Jay Cross: Designer pricing. We've already identified building partners that we will work with.
Operator: This concludes our question-and-answer session. I'd like to turn the call back over to David O'Reilly for any closing remarks.
David O'Reilly: We appreciate everyone joining us again today and look forward to catching up with you next quarter as well as NAREIT. And hopefully, we can talk to all of you soon. And if there's any questions between now and then, we're always here and available. Thanks again.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.